Operator: Greetings, and welcome to the CVR Partners, LP Second Quarter 2020 Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Richard Roberts, Investor Relations Manager. Thank you, sir. You may begin.
Richard Roberts: Thank you, Michelle. Good morning, everyone. We appreciate your participation in today's call. With me today are Mark Pytosh, our Chief Executive Officer; Tracy Jackson, our Chief Financial Officer; and other members of management. Prior to discussing our 2020 second quarter results, let me remind you that this conference call may contain forward-looking statements as that term is defined under federal securities laws. For this purpose, any statements made during this call that are not statements of historical facts may be deemed to be forward-looking statements. You are cautioned that these statements may be affected by important factors set forth in our filings with the Securities and Exchange Commission and in our latest earnings release. As a result, actual operations or results may differ materially from the results discussed in the forward-looking statements. We undertake no obligation to publicly update any forward-looking statements, whether as a result of new information, future events or otherwise, except to the extent required by law. This call also includes various non-GAAP financial measures. The disclosures related to such non-GAAP measures, including reconciliation to the most directly comparable GAAP financial measures are included in our 2020 second quarter earnings release that we filed with the SEC yesterday after the close of the market. Let me also remind you that we are a variable distribution MLP. We will review our previous established reserves, current cash usage, evaluate future anticipated cash need and may reserve amounts for other future cash need as determined by our general partner's Board. As a result, our distributions, if any, will vary from quarter-to-quarter due to several factors, including, but not limited to, operating performance, fluctuations in the prices received for finished products, capital expenditures and cash reserves deemed necessary or appropriate by the Board of Directors of our general partner. With that said, I'll turn the call over to Mark Pytosh, our Chief Executive Officer. Mark?
Mark Pytosh: Thank you, Richard. Good morning, everyone, and thank you for joining us for today's call. To summarize, financial highlights for the second quarter of 2020 included net sales of $105 million, a net loss of $42 million, EBITDA of negative $2 million, which included a non-cash goodwill impairment of $41 million. We repurchased approximately 890,000 CVR Partners common units for approximately $1 million and there is no cash available for distribution this quarter. During the second quarter of 2020, we had strong utilization at both facilities. At Coffeyville, the ammonia plant operated at 98% utilization, above the second quarter of 2019 at 97%. At East Dubuque, the ammonia plant operated at 101% utilization compared to 98% in the prior year period. Our combined operations produced approximately 216,000 gross tons of ammonia, of which 79,000 net tons were available for sale for the second quarter of 2020. This compares to production of 211,000 gross tons of ammonia, of which 71,000 net tons were available for sale in the prior year period. We produced 321,000 tons of UAN in the second quarter of 2020 as compared to 316,000 tons in the prior year period. We sold approximately 337,000 tons of UAN during the second quarter of 2020 at an average price of $165 per ton. In addition, we sold approximately 111,000 tons of ammonia during the second quarter of 2020 at an average price of $332 per ton. Year-over-year pricing softened for UAN and ammonia, which were down 24% and 27%, respectively. Natural gas pricing was lower as well, helping to offset some of the UAN and ammonia price weakness. For the first time in several years, we saw normal weather conditions for spring fertilizer application, resulting in approximately 92 million acres of corn planted an increase of over 2 million acres versus last year. Nitrogen fertilizer prices have remained soft. However, as producers take advantage of the low natural gas price environment and continue running at high utilization. We have a good order book for the coming months following the summer fill and fall prepay for UAN and ammonia, which I will discuss further in my closing remarks. I will now turn the call over to Tracy to discuss our financial results.
Tracy Jackson: Thank you, Mark. Turning to our results for the second quarter of 2020, we reported net sales of $105 million and an operating loss of $26 million compared to net sales of $138 million and operating income of $35 million in the second quarter of 2019. As a result of the decline in ammonia and UAN prices and overall challenging business environment, we recorded a non-cash goodwill impairment of $41 million in our second quarter 2020 results. Including this non-cash charge, net losses for the second quarter of 2020 were $42 million or $0.37 per common unit and EBITDA was negative $2 million. This compares to net income of $19 million or $0.17 per common unit and EBITDA of $60 million for the prior year period. The year-over-year decline was driven by the goodwill impairment and lower prices for ammonia and UAN. Direct operating expenses for the second quarter of 2020 decreased to $40 million from $46 million in the prior year period. Excluding inventory impacts, direct operating expenses decreased by approximately $3 million compared to the same period last year as we phased in our cost reduction efforts, primarily due to lower utilities and labor expenses. Turning to capital spending. During the second quarter of 2020, we spent $3 million on capital projects, which was primarily maintenance capital. We estimate total capital spending for 2020 to be approximately $19 million to $23 million, of which $14 million to $16 million is expected to be maintenance capital. Turnaround expenses for the full-year are expected to be less than $1 million. Looking at the balance sheet as of June 30, we had approximately $53 million in liquidity, which is comprised of approximately $33 million in cash availability under the ABL facility of approximately $46 million, less $25 million in cash included in our borrowing base. Within our cash balance of $33 million, we had approximately $1 million related to customer prepayments for the future delivery of product. Total debt on the balance sheet remains at $647 million, which is comprised of $645 million of senior notes due in 2023 and $2 million of senior notes due in April of 2021. The $2 million of senior notes due next year have been reclassified as a current liability on the balance sheet. In assessing our cash available for distribution, we generated EBITDA of negative $2 million, which includes the $41 million non-cash goodwill impairment. We had current cash needs of $15 million for debt service and $2 million for maintenance capital expenditures. In addition, during the quarter, we repurchased approximately 890,000 common units for total cash consideration of approximately $1 million and recaptured $5.9 million of cash used for operating losses in the first quarter. The Board of Directors of our general partner established reserves of $14.5 million for a portion of the unplanned – for the planned turnaround at Coffeyville in 2021, repayment of the senior notes due April 2021 and for future operating needs of the business. As a result, there was no cash available for distribution. Looking ahead, we estimate our ammonia utilization rate for the third quarter of 2020 to be between 95% and 100%. We expect direct operating expenses to be approximately $37 million to $42 million, excluding inventory impacts and total capital spending to be between $3 million and $6 million. With that, I turn the call back over to Mark.
Mark Pytosh: Thanks, Tracy. Weather conditions for spring fertilizer application and planting were largely normal in 2020, except in the Northern Plains. Our employees and customers took measures to address health and safety concerns with COVID-19, but we're able to operate normally and deliver under the tight timeframes for planting. We shipped record levels of ammonia in April from the East Dubuque facility and maintained consistent UAN shipments from both plants throughout the quarter. We also shipped our first unit train from Coffeyville in May and have sold additional unit trains to ship in the fall. At the end of June, the USDA updated some planting intentions report to lower the estimated planted corn acres for U.S. farmers from 97 million acres to 92 million. This is consistent with our estimates from the first quarter call and with the demand we experienced from customers during the spring. The next important data point will be summer growing conditions. So far, the temperatures this summer have been hotter than normal causing some debate around the plausibility of the USDA's estimated yield per acre of 178.5 bushels of corn. With the lower planted corn acres, inventory carryout will be higher than last year, but much lower than the market was expecting three months ago. Unfortunately, corn prices remain at the lower end of the range this year because of demand concerns. Demand for gasoline and ethanol has improved since our last call, but it's looking like more of an elongated recovery than a V-shape recovery. Between the yields experience in the corn harvest and the continued recovery in gasoline and ethanol demand, which accounts for approximately one-third of domestic corn demand. We expect the corn markets to continue to be volatile in the coming months. However, the reduction in planted corn acreage has provided some cushion against the downside in 2021. In late June and early July, the summer UAN fill was completed, and we have good volume in our order book for the coming months. Customers also bought ammonia for the summer fill and fall prepay during June and July. We are seeing higher prices from various market sources for fourth quarter 2020 and first quarter 2021. So we think that the summer fill should represent the bottom in nitrogen fertilizer prices in the near future. While prices were lower in the fill season compared to last year, demand was strong and lower fertilizer prices were partially offset by lower natural gas prices this summer as compared to last summer. Since March, natural gas prices have been trending between $0.50 and $1 per MMBtu lower than last year, and the curve shows lower natural gas prices for the rest of the year compared to 2019. Since we have no turnarounds planned for the second half of 2020, our current goal is to run the full capacity for the balance of the year. As Tracy mentioned, we repurchased approximately 890,000 units in the month of June. Given the performance of the units in 2020, we continue to feel they are significantly undervalued. I want to reiterate that the partnership will continue to focus on maximizing free cash flow by safely operating our plants reliably and at high utilization rates while focusing on the health and safety of our employees. We will prudently manage our costs and be judicious with our capital, but selectively invest in reliability projects and incremental additions to production capacity and maximize our marketing and logistics activities. In closing, I'd like to thank our employees for their commitment to being healthy, safe, flexible on helping the company execute at a high level while managing the impact of COVID-19. We all look forward to returning to more normalized conditions. With that, we're ready to take questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Adam Samuelson with Goldman Sachs. Please proceed with your question.
Jordan Shimabuku: Hi, good morning. This is actually Jordan in for Adam.
Mark Pytosh: Good morning.
Jordan Shimabuku: Yes. Good morning. So the first question – I have three questions. And the first one is really quick. Could you provide some more details on the impairment? I mean what that was for exactly?
Mark Pytosh: Can you repeat the question? I didn't understand it.
Jordan Shimabuku: Sure. Could you just provide some more color on the details of the impairment? And what was actually being impaired?
Tracy Jackson: Sure. We had $41 million of goodwill recorded on our books from the Farmland acquisition because we normally do our valuation assessment towards the end of the year, but with the significant decline in prices towards the end of the quarter, we felt like we had a triggering event that required us to pull our or accelerate our valuation into the second quarter. That was completed by an external firm and indicated that an impairment was necessary. It's only related to goodwill.
Jordan Shimabuku: Okay. Perfect. And then two more questions. The first one, if you could provide some color on UAN inventories exiting the spring and into the summer fill program? And how it differs from the past several years?
Mark Pytosh: Sure. What I would say, in our system, our inventories were quite low coming through at the end of June. There was a good pre-plant and then the Sidedress and Topdress were good. And I think generally, the feeling was that the inventory levels were normal to, I think, in a good shape maybe lower than normal just because of the season. But we felt good going into the summer on UAN in terms of inventory level.
Jordan Shimabuku: Okay. And then my final question would be, if you have any thoughts on financing plans into the next couple of years and how you're evaluating eventually refinancing opportunities on your debt as the call premium has come down a bit?
Tracy Jackson: It has come down. We continue to monitor the high-yield markets and look for opportunities to see if we can bring that rate in a little bit and decrease our interest burden. And as you know, the interest markets, the high-yield market, in particular has been pretty volatile, although improving the last couple of weeks. So we'll just keep monitoring for an opportunistic window.
Jordan Shimabuku: Perfect. Thank you.
Tracy Jackson: Thank you.
Operator: Thank you. We have reached the end of our question-and-answer session. I'd like to turn the call back over to management for any closing remarks.
Mark Pytosh: I just want to thank everybody for being on the call today, and we look forward to speaking to you after the third quarter is completed in October. Thank you.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.